Operator: Greetings, ladies and gentlemen, and welcome to the Hooker Furniture Quarterly Investor Conference Call reporting its operating results for the second quarter of fiscal 2022. [Operator Instructions]. As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Paul Huckfeldt, Vice President, Finance and Chief Financial Officer for Hooker Furniture Corporation.
Paul Huckfeldt: Thank you, Gigi. Good morning, and welcome to our quarterly conference call to review our financial results for the fiscal 2022 second quarter, which began May 3, 2021 and ended on August 1, 2021. Joining me this morning is Jeremy Hoff, our Chief Executive Officer. We certainly appreciate your participation this morning. During our call, we may make forward-looking statements, which are subject to risks and uncertainties. A discussion of factors that could cause our actual results to differ materially from management's expectations is contained in our press release and SEC filing announcing our fiscal 2022 second quarter results. Any forward-looking statement speaks only as of today and we undertake no obligation to update or revise any forward-looking statements to reflect events or circumstances after today's call. This morning, we reported consolidated net sales of $162.5 million and net income of $7.5 million or $0.62 per diluted share for our fiscal 2022 second quarter, which ended on August 1. Compared to last year's second quarter, net sales increased by $32 million or 25%, while net income increased $1.7 million or 29%. Earnings per diluted share also increased 29% from $0.48 a year ago. All 3 reportable segments reported year-over-year sales increases of more than 20%. For the fiscal 2022 first half, consolidated net sales were $325.4 million, up $90 million or 38% compared to last year's first half. We reported net income of $16.9 million or $1.40 per diluted share compared to a net loss of $29 million, or $2.46 per diluted share a year ago, principally due to $44.3 million or $33.7 million net of tax in non-cash impairment charges last year. Now, I will turn the call over to Jeremy to comment on our fiscal 2022 second quarter results.
Jeremy Hoff: Thank you, Paul, and good morning, everyone. We are pleased that Hooker Furnishings achieved double-digit sales and profitability increases for the second consecutive quarter. Each of our reportable segments Hooker Branded, Home Meridian and Domestic Upholstery, also achieved double-digit sales gains of 29%, 23% and 29%, respectively. While we expected improvements compared to the early months of the pandemic a year ago, we continue to surpass our goal to return to our pre-pandemic growth track. Consolidated sales were up over $10 million compared to the second quarter of fiscal 2020 and profits were up about 79% compared to the same quarter. Consumer and retail demand remained historically strong with consolidated backlogs doubled compared to last year and incoming orders up 27% over last year and the 6-month period. Industry-wide demand continues to be high. However, we are facing significant headwinds on the supply side that will impact us in the short term. The surge of the Delta variant of COVID-19 has caused factories in our source countries of Vietnam and Malaysia to close temporarily, with recent talk of reopening in Vietnam around September 15. In addition, global logistics challenges with higher freight and transit costs and lower transportation capacity, along with raw materials inflation and some labor shortages remain ongoing. We are utilizing all available levers to help mitigate these headwinds and we remain optimistic about our long-term position as we work our way through these transitory disruptions. Now I want to turn the discussion over to Paul Huckfeldt, who will discuss highlights in each of our reportable segments.
Paul Huckfeldt: Thanks, Jeremy. I'll begin with the Hooker Branded segment, which performed exceptionally well for the second consecutive quarter, exceeding expectations in sales, profitability, product flow and efficiency. Net sales increased by $11 million or 29% versus the prior year period. Incoming orders increased by 38% and the backlog tripled as compared to the prior year second quarter. Operating income in the fiscal 2022 second quarter was $8.9 million or 17.9% operating margin, compared to $6.1 million or 15.7% margin in the second quarter of last year. And Hooker Branded contributed over 90% of the consolidated operating profit during the period. We attribute our vibrant sales and profitability performance in the Hooker Branded segment to high industry-wide demand and the dramatic improvements and expansions of our product lines. The recent June High Point International Market was the best for Hooker Branded written orders since April of 2016. We're also seeing success with new lines such as the Commerce & Market collection, which offers pricing, scale and styling, targeting Millennials and is one of the largest accent furniture launches in our company's history. In addition, our strategy to rationalize our stocking inventory to focus on top sellers is helping us maximize shipping and production capacity, product flow and cash utilization. Having best sellers in stock enabled us to limit our order cancellation rate to single digits and to ship more than expected despite limitations on ocean and land shipping capacity. Additionally, we're able to increase prices to mitigate higher product costs from rising ocean freight expenses and inflation on goods sourced from Asia. Turning now to the Home Meridian segment, HMI's second quarter sales were $87 million, up approximately 23% over the prior year. Revenues were boosted by continued strong retail demand versus especially weak shipments during the second quarter last year due to COVID-19-related disruptions. Year-to-date, we've seen a strong sales rebound with our traditional furniture channel retail base, as those customers pick up share lost to emerging channels during the opening months of the pandemic shutdowns last year. In contrast, emerging channel sales have declined somewhat as a result of exceptionally strong sales in the prior year period, combined with global supply chain challenges. Lower allowances and reduced fixed expenses were not enough to mitigate the impact of all-time record high freight costs. The Home Meridian segment finished the quarter at essentially breakeven, despite higher sales due to these high freight costs. Incoming orders increased about 4% as compared to the fiscal 2022 first quarter, but decreased by about 35% compared to the prior year second quarter when business rebounded dramatically after the height of the initial COVID crisis. Backlog at the end of the quarter was 62% higher than the prior year second quarter, the result of strong incoming orders but also somewhat attributable to production and shipping delays. Our Pulaski Furniture division delivered particularly strong Q2 results, with net sales exceeding the prior year by 68% and operating income increasing by $1.3 million. 83% of PFC's shipments in Q2 were via containers shipped directly to large retail warehouses. New orders and backlog at PFC remains robust, but current factory closures in Vietnam could hamper shipments for at least the next several months. Samuel Lawrence Furniture, our value-focused casegoods division and PRI, our promotional upholstery division, also recorded strong double-digit sales increases in Q2, with year-over-year increases of 38% and 75%, respectively. Backlogs were also up in both divisions compared to last year. The temporary factory closures in Vietnam will negatively impact Q3 shipments. As mentioned in previous quarterly results, SLH, our hospitality division, continues to struggle with significantly diminished demand in the COVID disrupted hospitality sector. Net sales were off 48% in the period and incoming orders were practically non-existent. SLH will continue to operate at loss until the contract hospitality sector ultimately rebounds, which we expect to begin next year. ACH, our e-commerce-focused business unit, struggled with extremely unfavorable ocean freight costs in Q2. In addition to excessive freight cost, ACH was impacted by supply chain related service issues and diminished order demand resulting from our efforts to pass along portions of the freight cost increases. The price-sensitive nature of much of ACH's business limited sell through, thereby reducing the benefit of our price increases. While we have mitigating measures in place to reduce excess freight costs, we cannot eliminate them and therefore, these headwinds are expected to continue impacting ACH results for the remainder of this fiscal year. In the Domestic Upholstery segment, net sales increased by $5 million or 29% in the fiscal 2022 second quarter compared to the prior year quarter due to significant sales increases at Bradington-Young and Shenandoah and to a lesser extent our Sam Moore division. Operating income for the fiscal 2022 second quarter was $457,000 or 2% of net sales compared to a small operating loss in the prior year second quarter. Backlogs at all 3 divisions were at historical highs and incoming orders increased by 73% compared to the prior year second quarter. There's a lot of optimism in the Domestic Upholstery segment for the second half of this year. In addition to strong demand, we've seen a stabilization of some raw material issues such as foam allocation shortages that impacted us near the end of Q1 and earlier this quarter. Our management focus is on servicing backlogs with quality product and improved speed of delivery. In All Other, sales increased by $300,000 or 10% in the second quarter as compared to the prior year period due to an 11% sales decrease at H Contract. Operating income for the quarter was $230,000 or 8.5% of net sales compared to $350,000 or 11.5% of net sales in the prior year. As the retirement living market begins to slowly recover, H Contract incoming orders were up 6.4% over the prior year second quarter, and the backlog is 49% higher than the prior year quarter end. Finally, touching on our cash and inventory position, cash and cash equivalents stood at $37.4 million at the end of the quarter, a decrease of $28 million compared to the fiscal 2021 year end, due primarily to a $33 million increase in inventory as we continue to build inventories to meet increased customer demand and prepare for the holiday selling season. We have a substantial amount of inventory in transit, much of which is sold and can be shipped to customers shortly after receipt in our warehouses. Accounts receivable balances increased by $15 million as a result of increased net sales. We used existing cash to pay $4.3 million in cash dividends and $3.5 million of capital expenditures, which is more than we typically spend because we're in the process of upgrading our end-of-life ERP systems with newer technology and we began equipping our new, more efficient Georgia distribution center, which is expected to go online in October of this year. Now, turning back to Jeremy for his outlook.
Jeremy Hoff: Thank you, Paul. As we look ahead to significantly increased demand continue while we are still dealing with many of the same logistics and supply issues. The recent COVID-related factory shutdowns of Vietnam and Malaysia will particularly have negative ripple effects throughout the global supply chain for a period of time. The recent news of possible reopening in Vietnam this month is encouraging. Our Hooker Branded and Domestic Upholstery segments, where we have the ability to keep product flowing and to ship from our significant warehousing capacity, is less challenged than Home Meridian. Home Meridian ships primarily to larger customers via container and is more quickly impacted by the shutdowns. Our strong balance sheet and variable cost business model gives us confidence that we can weather this current industry-wide challenge and should allow us to take advantage of the healthy consumer demand environment, long-term positive economic indicators and demographic trends for home-related industries. Lastly, I would like to mention that Lee Boone, who most recently served as President of HMI has left Hooker Furnishings. This change is part of an overall effort to reorganize and realign the Home Meridian division, while reducing operating costs and improving segment profitability. While we are not making wholesale changes at HMI, we have changed some reporting relationships to better align with strategic initiatives, reduced the executive team eliminating some unnecessary layers and will exit a high-cost West Coast warehouse by the end of the first quarter of fiscal '23 without significant negative impact on our revenues. These changes further streamline the organization and reduce cost. We appreciate Lee's dedicated service and contributions to the company over the last 9.5 years as he served in various roles, including President and Co-President of HMI and Division President of Samuel Lawrence Furniture. This ends the formal part of our discussion. And at this time, I will turn the call back over to our operator Gigi for questions.
Operator: [Operator Instructions]. Our first question comes from the line of Anthony Lebiedzinski from Sidoti.
Anthony Lebiedzinski: So first, I guess a couple of just more or less some housekeeping things here. So, as far as the second quarter, I just wanted to get a better idea about pricing versus unit volume on a consolidated basis, if you have that information.
Paul Huckfeldt: Well, obviously, pricing is going to be a big part of it. Give me a second to...
Anthony Lebiedzinski: Sure.
Paul Huckfeldt: In fact, if you want to go on to your next question, I will go through those numbers so I can give you the -- we're filing our Q later today.
Anthony Lebiedzinski: Got it. Yes, no worries. So as far as -- obviously, I know you have taken up price increases. I guess just wanted to get a sense as to whether you plan to take price increases -- if you plan to take additional price increases and if so, are you taking anything on the existing backlog?
Jeremy Hoff: Anthony, this is Jeremy. So, we are taking it more through e-commerce currently. Through our ACH business, we had to adjust more drastically than we thought originally. And so, that's ongoing and a lot of those went in place to the back. They did affect backlog. So, that's the case on that. We're getting cost increases from suppliers for raw materials kind of on a daily basis. So typically, we don't raise prices through our backlogs throughout our company. We, of course, would do so if we really had to, but we feel like we're in pretty good position other than the first part of what I mentioned.
Anthony Lebiedzinski: Got it. Okay. Understood. And then, do you have a number as far as for the backlog? I know it's up overall, but as far as the -- do you have a dollar amount for the backlog as well at the end of the second quarter?
Paul Huckfeldt: Backlog's $320 million.
Anthony Lebiedzinski: Okay. Got it. Thank you for that. And then, so Jeremy, you did mention a few times that industry demand is strong, which is encouraging to hear. Can you give us a sense as to, like what you've heard from retailers here for the Labor Day weekend?
Jeremy Hoff: Yes. What we've heard is Labor Day weekend was really strong and we continue to hear positive things from our retail partners.
Paul Huckfeldt: Okay. Anthony, going back to your other question, unit volume's up 4.4% consolidated and average selling price is up 12.2%.
Anthony Lebiedzinski: Got it. Okay. Thanks, Paul. Okay. And then as far as -- Jeremy, you talked about using your available levers to help to mitigate the supply chain headwinds. Can you go into a little bit more specifics as to what you're doing, obviously, realizing that Vietnam is still in the shutdown mode? But if you could just maybe expand on what you're doing to mitigate the supply chain constraints, that would be very helpful.
Jeremy Hoff: Well, first of all, separating the factory shutdown from everything else, factory shutdown, it's difficult to have a lever for that. And where the best news we've had so far is there is word that, that could open -- those could open back up in Vietnam as early as the 15th this month. So, kind of separating that out. Regarding with -- so let's start with logistics. So logistics, it's all about additional cost of goods, right? So, it comes in and we pay a certain amount. Maybe it's $15,000, $20,000. We've heard as much as $28,000. I think $30,000 even came up for container.
Paul Huckfeldt: Unless [indiscernible].
Jeremy Hoff: So, our mitigation efforts on that are really looking at each of our businesses. So, if it's a lower price, lower cost -- lower price point business where a higher container cost doesn't make sense, we have measures in place to actually make that decision more on the fly than we have in the past. So, we're not just allowing a ridiculous container cost to come in on a business that really can't support that. So, that's 1 big thing that we're doing. And on the higher end price points, we can take more of that and we have to make sure that we have enough margin in pricing to do so. But in our warehouse supported businesses and the higher end, specifically Hooker Branded, it's all about having enough product and keep it flowing and did not run out. So, we aren't as sensitive about bringing the higher priced containers in and we've been able to average still way above what we normally would, but our average is lower than a lot of the higher ones you hear about. So, we're trying to keep that average as low as possible and we put our logistics team into 1 big team because it's somewhat of a all-hands-on-deck effort. It's a daily constant grind to make sure that we're trying to get the rates that we can get. So, that's a major part of what I mean when I say we're trying everything we can to mitigate a lot of these additional cost. Then getting into capacity. Capacity, of course, from a container standpoint, it's all about being -- we feel it's about being consistent with what we're booking. So, we're trying to keep our bookings as consistent into our contract countries as we can. Of course, all of that is a little bit out the window with the factory shutdown currently in Vietnam. But that's one thing we're really trying to do is have a consistent number of containers at our major factories that we can get as many contract rates as possible on these containers. So, an another big part is managing all the emerged that's out there. So it's not only difficult to get containers from overseas, it's difficult once they get -- once they hit the United States, getting them to our warehouses is another major challenge. And a lot of these things, it's focused. I mean it's putting enough people and enough horsepower on each issue and make sure you're watching it on a daily basis. It's not something that you can take your eye off of it and look up in a month and say, Okay, what just happened, because you're not going to like the results.
Anthony Lebiedzinski: Got it. Okay. Yes, so thanks for that detail, the explanation, Jeremy. So given the [Technical Difficulty] supply chain constraints that are out there, how are you thinking about strategically going forward as far as -- are you looking to, longer-term, diversify your sourcing capabilities given what's happened here? Just wanted to get your high-level thoughts about that.
Jeremy Hoff: Yes. We're always looking for additional sourcing opportunities to diversify what we are doing. One, we feel one area is -- Mexico is an area where we're trying to diversify into. It's easier said than done, candidly. One other big area is with upholstery, import upholstery, not domestic but import. We actually have diversified quite a bit out of Vietnam. We're in Thailand. We're in different areas. We're even -- candidly, we've even gone back to China a little bit when necessary. If we feel more stability is in a country currently, that's what we're going to do. And upholstery is easier to move than casegoods. And especially when you get into higher price points of our casegoods, it gets more difficult to diversify that from a factory standpoint.
Anthony Lebiedzinski: Got it. Okay. And then, as far as Home Meridian, you did mention about the leadership change there. I mean, as far as longer term, how should we think about the opportunities for HMI? Obviously, there are some near-term challenges, I certainly understand that, but how should we think about HMI from a sales and profitability standpoint longer term?
Jeremy Hoff: So, one thing that we're very focused on and I somewhat said it is, I have not found additional layers to be effective, specifically when you're trying to figure a business out. So #1 being closer connected as a team and actually really working together to run the same direction. I think that's a really big deal. Secondly, we have really good businesses that have been somewhat hidden by a couple of things, a couple of businesses that are not as strong and are not as good for our company. So, we've been really working on mitigating those either down or getting the prices to where they need to be, even if it's a loss of volume in that particular business and really trying to magnify and invest more in the businesses that we see are really strong and have great opportunities currently and in the future. So, I believe -- I really fully believe that once we do what I just described, it will be a whole different picture. And there's -- the good news is we have really good leadership in each of those businesses, which is why I mentioned layers. It almost gets confusing when you have another layer on top of these leaders with those businesses. So, I really feel good actually about our position. It's going to be, as I said in the outlook, it's going to be tough with factories closed. It affects them quicker. But beyond that, I'm very optimistic.
Anthony Lebiedzinski: Okay. That's great to hear. And then last question from me. I mean, obviously, you guys have a strong balance sheet and I know the current environment, as far as the supply chain, is constrained. But just wondering what is your appetite for acquisitions, especially in light of potential changes to the tax laws? I mean, are you seeing or are you interested in doing any M&A activity?
Jeremy Hoff: We definitely aren't currently going to hide from an opportunity. I mean, we have our eyes open, ears open and we review things. And we're -- we have a Board of Directors that's open to that as well. So one of our big strategies is to grow through acquisitions, but it also means do it correctly and do it with a business that would actually bolt-on correctly to our overall business and be an actual cultural and good fit with what we do. So, I know I'm not giving you as much information as you want, but I -- the answer is, we're definitely open to it.
Operator: Our next question comes from the line of John Deysher from Pinnacle.
John Deysher: I was just curious on the shutdowns in Vietnam and Malaysia, what was the timing of that? In other words, did those -- were those shutdowns in effect the entire quarter or did they come into play at the end of the quarter or help us understand how that impacted the current quarter.
Jeremy Hoff: This is Jeremy. We actually started down that road about August 1 is when it really became where the government -- so Malaysia actually happened a little earlier, probably, Paul, like June or July?
Paul Huckfeldt: Yeah. Malaysia was earlier, but Malaysia was a pretty small part of it.
Jeremy Hoff: It's not as big and Vietnam is bigger for us, the bigger footprint. So 8/01 would be the answer on that.
Paul Huckfeldt: It was pretty dramatic. It went from a few -- when the Delta variant thing came out, it went from just a few cases to pretty aggressive lockdown, I think, because Vietnam was not -- at the time, it was not particularly well vaccinated, the government was very aggressive about mandated shutdowns.
John Deysher: Okay. So August 1, so it really didn't impact the last quarter. Do you anticipate being able to meet your sales going forward? I know inventory is up, but if the factories don't come back online anytime soon, could there be a shortfall in terms of lost sales?
Jeremy Hoff: Yes, it's a fair question. We're going to -- we believe we're going to be in better shape for Hooker Branded and Domestic Upholstery. HMI is so closely attached to that production and shipping containers off of production that we believe there could be a miss there.
Paul Huckfeldt: It's temporary, but until the pipeline refills, it's certainly probable.
John Deysher: Okay. So HMI is the most vulnerable at this point. And during the last quarter, how much actually came out of Vietnam as a percentage of sales roughly?
Paul Huckfeldt: Probably about half. Yes, I'd say it's closer to around half.
John Deysher: Around half. And what was China roughly for that quarter? Sorry?
Paul Huckfeldt: 20%.
John Deysher: 20%. Okay. All right.
Paul Huckfeldt: Domestic and other.
John Deysher: Yes. All right. Okay. So about 70% of the last quarter came out of Vietnam and China. All right. Okay. I think that does it. Thanks.
Operator: Our next question comes from the line of Jeff Geygan from Global Value Investment. Your line is now open.
Jeff Geygan: Can you go back to the HMI transition, give us an expected timeframe and financial impact on that?
Jeremy Hoff: So, I'll start with timeframe and then you -- I'll let Paul go to the financial impact. But our -- it's somewhat fluid because there are some unknowns. We've received, we think, some decent news that Vietnam's looking to open up 9/15 of this month. The challenge is going to be you're going to start out at a low. If you shutdown a factory, you don't just go from 0 to all of a sudden 100%. So, there could be some challenge with capacity going to lower and then it will work its way up. But there are some -- there is more and more vaccines getting out in the country. The government there, what we're hearing is they are actually pushing that fully vaccinated people back to work. So, there is not going to be this -- we don't feel, though, there will be a lag to people going back to work once they're either vaccinated or if they've had COVID apparently, they're also being told that they need to go back to work. So, I think that we're going to see a good, what you say, it's going to hurt for a quarter on HMI specifically.
Paul Huckfeldt: Third quarter HMI could miss sales by 30%.
Jeremy Hoff: Yes, right. Right.
Paul Huckfeldt: It's going to be significant.
Jeremy Hoff: And then I believe we'll start to make somewhat of a come back, but not recover for the year. But I think we'll start to see much better shipments fourth quarter, but it will still be a recovery. And I think we'll hit first quarter in a healthier way with HMI. Is that fair, Paul?
Paul Huckfeldt: Yes, it is. But that's all predicated, of course, on the behavior of the macro events like the virus. So that's our thinking today.
Jeff Geygan: All right. And then, I guess two follow-ups. Number one, I was more specifically interested in leadership changes there or conceivably, you do have the leadership team you want right now. But secondly, given the percentage of revenue represented by HMI, but the 0 margin contribution. On a 30% lower revenue, could you actually start seeing margin contribution from that division?
Paul Huckfeldt: No, we don't expect to see margin contribution in the third quarter. We think that some of these restructuring moves and then as we rebuild, we're focusing on profitable businesses. And so, I think we expect them to be back in the margin contribution world, maybe fourth quarter, but third quarter, it's going to be tough with the sales miss like that.
Jeremy Hoff: When you can't ship -- when you can't ship from the factories closing, it's a rough deal for a little bit, but we do feel it short-term.
Jeff Geygan: All right. Thanks. Regarding the logistical issues and Asian supply chain challenges you're facing, how do you expect that to impact your holiday sales and what contingencies have you made?
Paul Huckfeldt: Holiday sales really aren't a big driver, except in the ACH division. Those will probably be adversely affected. The Hooker side of the business, I mean, we participate in Wayfair's Cyber 5. And it's important to us, but it's not a key and that's all business shipped out of our warehouse already. So, we don't expect to see a major impact there. I think the ACH division is the only division that specifically could be adversely affected in the, like a holiday sales expectation.
Jeff Geygan: All right. And you mentioned your SKU rationalization -- you made some general comments around that. Can you add a little more color in terms of the impact to your P&L or balance sheet?
Jeremy Hoff: Well, there was a major effort at the start of the pandemic, say, okay, there's -- once it -- once we got through the first part and we saw the demand start to hit, specifically Hooker Branded, really the whole company hit the demand portion. But with the warehousing focus at Hooker Branded, we went into, Okay, if we have this much capacity and this is going on, we're going to make sure we're making the right thing. So, we cut down a significant number of the SKUs. I believe it was 18% of the SKUs at the time. We cut last year immediately. And then we continued that effort and we kept watching and kept focusing in and said, Okay, As and Bs and really forget Cs. So then, really, it's mostly As. I mean it's -- so when we -- we get a percentage every month showing us what percent of the As actually are shipping on containers to us and all of them are always sold, of course, and then what percent of Bs. And if we see any Cs, we review those again and say, why did we ship Cs, why did this happen. And so it's just -- it's a constant effort and I think it's had a major impact on Hooker Branded bottom line.
Paul Huckfeldt: Top line too.
Jeremy Hoff: Yes, top line and bottom line because we've been able to get the right production for the right pieces, and so that really has had a major positive impact for the company.
Jeff Geygan: And can you speak to your balance sheet, inventory as well?
Paul Huckfeldt: I think we're -- including in-transit on the Hooker Branded side of the business, I think we're reasonably happy with the flow, I mean, given the constraints. HMI is challenged because their inventory flow is much different. They've built inventory, but a lot of their sales are contingent -- are container direct sales. So, that's that 30% sales miss that we're going to have. We don't have the -- the inventory is not built yet. But I think on the Hooker side, we are reasonably happy with our inventory under the circumstances. Obviously, with the demand, we'd love to have more, but I think we're servicing -- we are exceeding our expectations every month. I think we're servicing reasonably well compared to...
Jeremy Hoff: We believe on the Hooker Branded, it's more of a hiccup as long as it opens in the time and we think it's going to open. And then on the other side, we've talked about where it's definitely more impactful.
Jeff Geygan: Thank you. And last question. And Paul, circling back to the answer you gave Anthony earlier, I thought you indicated your average selling prices were up roughly 12% and volumes about 4.5%. Would -- if that's correct, would that really imply that organically you're still seeing strong demand at 4.5% roughly, like unit volume growth?
Paul Huckfeldt: Well, actually, probably -- the demand is probably more than that because our backlogs continue to grow. The 4.5% is what we are able to ship. So, we're very confident of demand. And we are -- and I say it too often, but we're not experiencing cancellations -- any outsized cancellations. I think the demand industry wide is really good. So, I think it's more than 4%. It's just the 4% is what we can service.
Jeff Geygan: I see. Thank you. Good luck. I think the issues you're facing are being faced by everybody that's moving product around the world. So, we'll get through this and look forward to seeing it on the other side.
Operator: Thank you. At this time, I'm showing no further questions. I would like to turn the call back over to Jeremy Hoff for closing remarks.
Jeremy Hoff: Thank you, Gigi. We would like to thank everyone for their participation in today's call. We look forward to sharing our third quarter results in early December with you. Thank you and have a great day.